Operator: Ladies and gentlemen, thank you for standing by, and welcome to the RF Micro Devices Q4 2013 Conference Call. [Operator Instructions] This conference is being recorded today, Tuesday, April 23, 2013. And I would now like to turn the conference over to Douglas DeLieto, Vice President Investor Relations for RF Micro Devices. Please go ahead, sir.
Doug DeLieto: Thanks very much, Michaela. Hello, everybody, and welcome to our conference call. At 4 p.m. today, we issued a press release. If anyone listening did not receive a copy of the release, please call Samantha Alphonso at the Financial Relations Board at (212) 827-3746. Sam will fax a copy to you and verify that you are on our distribution list. In the meantime, the release is also available on our website, rfmd.com, under the heading Investors. At this time, I want to remind our audience that this call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as our most recent SEC filings for a complete description. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain noncash expenses or unusual items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today, available on our corporate website, rfmd.com, under Investors. [Operator Instructions] Sitting with me today are Bob Bruggeworth, President and CEO; and Dean Priddy, Chief Financial Officer. I'm also joined by Eric Creviston and Norm Hilgendorf, who lead our Cellular Products Group and Multi-Market Products Group, respectively, as well as other members of RFMD's management team. And with that, I'll hand the call over to Bob.
Robert A. Bruggeworth: Thanks, Doug, and welcome, everyone. We're very pleased to report March quarterly results that reflect market share gains and above seasonal revenue performance. RFMD won share across a broad set of customers and outpaced our industry's underlying growth rates with quarterly revenue improving 3.5% sequentially and 49% year-over-year. RFMD has and will continue to execute on multiple opportunities to increase our dollar content generation over generation in the world's leading smartphones. From a market perspective, the expanding demand for data-rich mobile applications is producing abundant growth opportunities for RFMD. We are positioned to benefit across all tiers with the increasing complexity and dollar content of LTE devices and as the shift continues from voice-centric 2G devices to higher dollar content entry-level smartphones. In today's marquee phones -- in today's marquee smartphones, RFMD's products sold with increasing complexity in enabling reliable, high-speed data connections while satisfying the accelerating demand for always on, broadband mobility. In emerging markets, RFMD's best-in-class entry solutions achieved the optimum balance of cost, performance and flexibility while satisfying our customers' most critical requirements for quality and reliability. Across all product tiers, RFMD's customers are increasingly drawing upon our unique competitive strength. These include our world-class system's level expertise, our manufacturing scale, our growing portfolio best-in-class products and our ability to match the absolute best technology to the unit performance and cost requirements of each customer's individual applications. We call this Optimum Technology Matching. It's been a guiding principle for RFMD for greater than 20 years, and it's at the core of our commitment to product and technology leadership. By delivering our customers highly differentiated, best-in-class products, we are solving their complex RF challenges related to thermal management, solution size, multimode complexity and LTE band fragmentation. If you look from a very high level at our long-term strategy, a few quarters ago, you saw we began making incremental investments in R&D to drive growth and diversification through product and technology leadership. In the second half of last year, those investments began driving above-industry growth and with it, customer diversification. Now, you're seeing continued above-industry growth and an additional layer of diversification across products and product categories. Looking forward, those same investments are shaping our current year. They are helping us further expand our dollar content on flagship platforms and helping us to diversify our product offerings at the same accounts. To expand these customer relationships, we're leveraging our R&D and capital expenditure investments to expand our product offerings, whether they include PAs, power management, switches, tuners, duplexers or some combination of the above. Looking at our entire customer set, RFMD's investments have enabled the best customer diversification in our company's history. It's our intent to maintain the industry's best diversification in order to generate a long-term revenue profile that is predictable and sustainable. We have many accounts where we can grow a lot and absolutely no accounts where we cannot continue to grow. In addition to the top 2 smartphone manufacturers, there are many accounts that drive large volumes that are also looking to RFMD to support their next-generation ramps. We're providing them best-in-class RF solutions including complete RF reference designs to help them differentiate their new products. We expect this will drive an additional layer of revenue growth and operating leverage as design wins translate into production shipments. Now turning to our March performance in both CPG and MPG. During the quarter, our Cellular Products Group was very successful in leveraging our core strengths to drive outstanding growth. CPG grew approximately 1.4% sequentially and 59% year-over-year to $225.7 million. During the quarter, CPG began production shipments in support of a high-volume flagship smartphone that will include multiple RFMD components including multimode multiband PAs, single band PAs and antenna control solutions. Also of note, RFMD benefited in the entry segment from our lead position on major reference designs and the expansion of our entry solutions product portfolio to include RFMD's industry-leading CMOS PAs. We are accelerating the adoption of our RF CMOS technology into new markets and new customers, and we anticipate this will provide a path to lower costs and improve margins in our 2G product portfolio. This is especially meaningful in China where RFMD enjoys a leadership position and where we are forecasting long-term growth in multiple segments including RFMD's highly integrated multimode PAs for TD devices. From a design perspective, RFMD saw robust design activity in the March quarter suggesting a sustainable, long-term growth trajectory. We are forecasting strong growth in 3G and 4G LTE devices supported by multiple flagship product ramps spanning calendar 2013. Major cellular carriers are accelerating the deployment of LTE devices on their networks this year. Why is this important for RFMD? Because the growth rate of RF content in these devices is outpacing device growth. It's also important because the increase in device complexity related to the additional frequency band combinations and the increasing requirements for new technologies such as antenna tuning, envelope tracking and carrier aggregation. RFMD is an early pioneer and the current leader across these next-generation RF technologies. To drive growth, we are engaged at a very high level with the leading carriers, smartphone manufacturers and chipset providers, and we expect these technologies to play an increasing role in differentiating our product offerings. In RFMD's Multi-Market Products Group, we grew approximately 13% sequentially and 20% year-over-year to $54.9 million with sequential growth in all 3 business units. WiFi continued its strong trend doubling quarterly revenue over the prior year. We supported multiple reference designs for both mobile WiFi and CPE with particular interest in our high band front-end modules. We expect continued growth in 802.11n applications and also at 802.11ac, which is beginning to ramp. While 802.11ac activity for mobile applications has been strong for awhile, CPE's activities strengthened last quarter. Among MPG's other markets, we experienced double-digit sequential growth in broadband CATV, Smart Energy and their standard products categories. New broadband CATV products are gaining market traction utilizing RFMD's leading gallium nitride technology and enabling leading electrical performance with power efficiency improvements. In summary, RFMD enjoys exceptional customer relationships in the large growing market for RF solutions and we have greatly improved our participation on the industry's most critical reference designs. We have established leadership across the products and technologies that are differentiating our customers' products and enabling more sustainable, predictable growth. We believe our long-term growth trajectory can support continued improvements on our operating results as measured by margin expansion, operating leverage, earnings growth and free cash flow. And with that, I'll turn the call over to Dean.
William A. Priddy: Thanks, Bob, and good afternoon, everyone. Revenue for the March quarter increased 3.5% sequentially to $280.6 million. CPG revenue was $225.7 million, up approximately 1.4% sequentially and 59% year-over-year. And MPG revenue was $54.9 million, up approximately 13% sequentially and 20% year-over-year. Our robust growth continues to reflect our sharp focus on diversification, category expansion and content gain in the large market supporting data mobility. Gross profit for the quarter was $96.7 million with gross margin of 34.4%. Compared to the March quarter 1 year ago, a 49% increase in revenue supported a 59% increase in gross profit. Operating expenses were $76 million with G&A of $12.6 million, sales and marketing of $16.7 million and research and development of $46.8 million. RFMD's play-to-win research and development emphasis is resulting in content gains and category expansion across a broad set of smartphone manufacturers and chipset providers. The acquisition, Amalfi, added approximately $2.3 million in operating expenses for the fourth quarter. Operating income for the March quarter was $20.6 million representing approximately 7.3% of sales. Other expense was $1.4 million and non-GAAP taxes were approximately $2.1 million. Net income for the quarter was $17.1 million or $0.06 per diluted share based on 285.8 million -- 285.5 shares. Now going to the balance sheet. Cash, cash equivalent and short-term investments totaled $179.6 million. Cash flow from operations was $10 million. DSOs were 46.5 days compared to 49 days in Q3. RFMD inventory balance of $161.2 million resulted in 4.8 turns as compared to 4.6 turns last quarter. Net property plant and equipment was $191.9 million -- $191.1 million, and CapEx during the quarter was $20.4 million with depreciation of $11.7 million and intangible amortization of $7.3 million. Return on invested capital was 20% for the quarter. During the quarter, RFMD made a $10 million investment to secure duplexer capacity to support product ramps in the second half of our fiscal year. Now for the financial outlook and business commentary. Product leadership is driving RFMD's revenue growth and diversification. Operational excellence is driving significant and sustainable changes to our cost structure. We're excited about the margin expansion and earnings leverage, the combination of these 2 forces provide. Most specifically, we expect to drive substantial margin improvement through the multiple activities -- through multiple activities, including the migration of our 2G product portfolio to our lower cost best-in-class RF CMOS technology. The addition of internal assembly capacity to increase the percent we in-source, the completion of the exit of our U.K. facility and the resulting improvement in utilization in our Greensboro gallium arsenide fab. We believe these activities will drop 3 to 4 points of margin expansion in the second half of this fiscal year. Revenue growth, margin expansion and flattening expenses is a recipe for earnings power and this is what we're committed to deliver. In the current quarter, RFMD's financial outlook reflects the company's current expectations for the timing of key customer program ramps and continued strength in 2G and high-performance WiFi. With this, RFMD currently believes the demand environment in our end markets supports the following financial projections and expectations for the June 2013 quarter. RFMD expects quarterly revenue to increase to approximately $285 million to $290 million. RFMD expects non-GAAP tax rate of approximately 15% to 20% and RFMD expects non-GAAP earnings per share of approximately $0.07 to $0.08. And with that, we'll open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Harsh Kumar from Stephens.
Harsh N. Kumar - Stephens Inc., Research Division: I had a couple of questions. I've been doing this awhile, and I've always seen March to be down and then June to be up but things have changed here, you blew up the March quarter and your guidance for July, historically speaking, is modestly up being -- or Bob, I was wondering if you could take me to the mechanics of what's going on so we can better understand the revenues?
Robert A. Bruggeworth: Sure, Harsh, and thanks for your comments and your question. I'll speak a little bit about the March quarter. As you pointed out, it's typically or seasonally down for the industry, but we did see pretty broad-based strength once again in the quarter and we -- maybe in our guidance to The Street was a little conservative in the timing of new programs and some of those ramps. And quite honestly, as we've said in the past, it's always difficult to predict. We know if we're in it, we just don't always know what that ramp profile is going to really look like and the timing, and quite honestly, they hit a lot of our customer forecasts and again we saw broad-based strength. We grew at 5 out of our top 6 customers quarter-over-quarter. So it was very broad-based. I'm very pleased with how that looked and as you've already commented, from the March to June quarters, in fact the last couple of years have been flat to down slightly. And so we're guiding up a little bit. Again, I think it comes down to our view of the timing of new product ramps, and we'll see how it plays out. But we feel very good about how we're positioned. We don't expect to lose any share. Clearly, our year-over-year growth numbers support that and our quarter-over-quarter numbers, we don't expect to lose any share going forward either.
Harsh N. Kumar - Stephens Inc., Research Division: Bob, very helpful. And then I had a question for Dean. Dean, at the end of your commentary, you outlined several factors where you think margins will go up 300 to 400 basis points in the second half. I was curious, Dean, which one -- if I had to ask you to either rank the drivers or just maybe give me an idea about the 2 most important drivers that are pertinent here for that margin increase.
William A. Priddy: Yes, thanks for the question, Harsh and yes, I would like to again reiterate how pleased we are with our organization in driving the top line growth. I mean, we're clearly winning in the places that are driving the big volumes and we're beginning to see, also see MPG grow again. So we got a lot of wind at our back in terms of the revenue growth and that's always the first step to improving your earnings. So getting to your margin question, I am very confident in our ability to improve margins this year. In fact, we essentially have already announced either through the new GaAs sourcing strategy where we will be exiting the U.K. facility and also, we'll be increasing the utilization of our Greensboro facility. That is in and of itself, a major opportunity for margin improvement. That's probably the largest single factor. And I think what you'll get out of that is the utilization rates, that if you go back 6 to 10 quarters ago where the company was running at much higher utilization rate and our margin structure was much higher at that time. So we saved about $5 million a quarter by exiting the U.K. And then we also picked up the absorption, the additional absorption of higher utilization in our Greensboro facility. Probably next on the list is the transition to our low-cost silicon CMOS power amplifier that the part is beginning to ramp, is getting widespread acceptance. The business itself is very strong, again, our 2G businesses was strong during the March quarter, expect to be stronger in the June quarter. So now it becomes the rate and pace in which the low-cost version ramps and we see that picking up very dramatically as the year progresses. That's probably about a quarter or so of margin improvement. So that's how we get 3 to 4 points when we also throw in the increased assembly that is very quick payback type of investment.
Harsh N. Kumar - Stephens Inc., Research Division: Dean, just as a follow-up to what you were saying, sorry to cut you out, but is this the -- CMOS PA, is this the 3G PA that's ramping or is this a new version of 2G PA that's ramping?
William A. Priddy: It's a new version of 2G, but it's a much lower cost version and it's going to have a pretty dramatic impact on our margin structure in the 2G area. In fact, we would like to ramp as many of our gallium arsenide to GPA to this solution as possible and as quickly as possible.
Operator: And our next question comes from the line of Blayne Curtis from Barclays.
Christopher Hemmelgarn - Barclays Capital, Research Division: This is Chris Hemmelgarn on for Blayne Curtis. One, just following up a little more on the margins. It sounds like you've got a great trajectory there. Could you talk a little bit about -- I mean, is that going to be weighted towards the improvements that can be weighted more towards the back half of the second -- towards December, or should you get a pretty smooth improvement from here out?
William A. Priddy: Well, I didn't get to mention that the margins for the March quarter and probably also on the June quarter, were impacted by mix. If they were a perfect storm, if you will, of how mix could go against you during the quarter, that's kind of what we saw in the March quarter and even so, we were able to print decent margins. So as we get further into the year, we see an opportunity for these major initiatives to begin kicking in, but also the possibility that, that mix could begin to improve and that would actually accelerate the margin expansion. And I don't want to get into too much detail here, but the company has a lot spread of thought on product costs, and it's not just the things that I outlined, but it's other initiatives such as significant reductions in precious metals, lower-cost silicon supply, improved yields and also designing for lower-cost. So we feel that the back half of the year is when you really going to see the significant bump up in gross margin.
Christopher Hemmelgarn - Barclays Capital, Research Division: That makes a ton of sense. So kind of following up on that, could you talk a little bit about the mix between 2G and then your 3G/4G products in the March quarter and in June as well, kind of what you're expecting there?
Robert A. Bruggeworth: Yes. It really saved a little bit somewhere to what we've seen in the past, about 75% with 3G/4G. And we're not expecting much of a shift in this quarter.
Operator: And our next question comes from the line of Mike Burton from Brean Capital.
Michael A. Burton - Brean Capital LLC, Research Division: Just I wanted to follow-up on MPG, could you give us some color on your expectations for MPG next quarter? And then on the margin side for MPG, we used to think about that business kind of in the mid-45% up to 50% range in gross margins. Is that still the case, or has that really kind of changed given the growth you've seen in WiFi, and can you talk about that?
Robert A. Bruggeworth: Norm, do you want to take that?
Norman Hilgendorf: Yes, sure. Thanks, Mike. Yes, we see a continued growth coming from MPG in the next quarter. WiFi certainly is driving a lot of that growth. But we've had some very pleasant surprises in other parts of the business as well: Some new traction in point-to-point radio areas, some new cable TV business, a high-power radar, the end products as well and some significant strength in our overall standard products categories with really broad-based mix of customers and applications. So really we saw an overall blend of increase in customers and markets, so that we really didn't suffer from any negative private mix effects overall in this last quarter. So we're approaching 45% gross margin right now, and with all the company activities on margin improvements and focused on improving factory utilization, we expect to continue to see improvements in overall gross margin in MPG even as WiFi grows at above average rate.
Michael A. Burton - Brean Capital LLC, Research Division: Okay, helpful. And then also on the customer mix, if you could talk how many 10% customers did you have in the quarter and then how much is really going into the Chinese white box market that seems to be an area of strength? And I was wondering if that affected your margins in the quarter.
Robert A. Bruggeworth: We did have one 10% customer during the quarter, and as far as the white box manufacturers, actually, we were -- we did not grow there quarter-over-quarter. We did see our 2G business grow quarter-over-quarter. So we are expecting that business to pick up this quarter.
Michael A. Burton - Brean Capital LLC, Research Division: Okay. And so -- that's all right. So that's to pick up this quarter, that being offset to some of the other markets, like you have going on.
Robert A. Bruggeworth: Right, right.
Michael A. Burton - Brean Capital LLC, Research Division: And then last thing, the 3 to 4 points above margin, Dean, if you could just -- I know a lot of that's going to be in the absorption you talked about. How many points of margin are we going to be getting just out of some of the moves you're making with the product if you can delineate there for us?
William A. Priddy: Yes. Roughly speaking, you're getting probably a little better of 2 points or so of the actions we're taking with our GaAs sourcing strategy. The closure of the U.K. facilities plus the additional utilization of our own facility here in Greensboro, and then we see a port or a little better of margin improvement as we transition to lower-cost CMOS 2G PAs. So that -- those are 2 of the major drivers of the margin improvement, and again, they're well underway and are happening as we speak. As well as the additional assembly capacity that we're fitting in place, which is not going to be insignificant in terms of margin accretion either.
Operator: And our next question comes from the line of Edward Snyder from Charter Equity Research.
Edward F. Snyder - Charter Equity Research: Couple of questions. WiFi, I imagine that's -- is that predominantly exclusively the 5 gigahertz AC products and then I had a question on duplexers.
Norman Hilgendorf: Sure, Ed. Thanks for the question on WiFi. It is not predominantly the high band. It's really a mix of low band and high band. And with regards to the standards mix, 802.11ac is really just emerging right now. The bulk of our shipments are still 802.11n, both reduced the significant activity on 11ac it's been very strong and mobile for a couple of quarters with increase in activity and new designs. We really saw a strong pickup in the CPE category with routers, gateways and other enterprise equipment, a lot of new activity there and production programs kicking in for 802.11ac last quarter.
Edward F. Snyder - Charter Equity Research: Right. And then, Dean, $10 million for duplexers doesn't -- I know you had your own source internally, [indiscernible] I mean, you still do or you don't?
William A. Priddy: We -- that was a strategic investment we're doing with our partners for duplexers.
Edward F. Snyder - Charter Equity Research: Yes, but is it SAW or BAW?
Robert A. Bruggeworth: No, it's for duplexers.
Edward F. Snyder - Charter Equity Research: Duplexers?
Robert A. Bruggeworth: Not for SAW filters.
Edward F. Snyder - Charter Equity Research: Right, but then there's SAW duplexers also. So I'm assuming this is a BAW duplexer. Is that all you can give us, how tough it is and how difficult it is. Okay. And I would assume then since you haven't done antenna modules, you had -- that you're preliminarily talking about pads, the secure source for BAW pads, BAW-based pads?
Robert A. Bruggeworth: Eric, you want to go direct that for your business?
Steven E. Creviston: Sure. So the investment we made in the duplexer supply chain is essentially to assure upside capacity. We've got certain capacities already allocated to us in the industry from multiple suppliers for a couple of key programs. We're expecting some potential upside. We've reserved additional capacity that way. It does apply both to switchers with integrated duplexers and PAs with integrated duplexers. So we're confident the portfolio of both types of products being in production within the next 12 months.
Edward F. Snyder - Charter Equity Research: Okay. So it's less than new source and more of existing one, which you want to make sure you got capacity online in case you need it.
Steven E. Creviston: That's correct. We have again, a large capacity already allocated to us to assure the upside source, we put the extra...
Robert A. Bruggeworth: Yes. And I wouldn't call it insurance. I mean, we bought equipment that we're placing in suppliers to support our needs.
Edward F. Snyder - Charter Equity Research: Okay, excellent. And then on the PA mix, sounds like you're doing superb on MMPAs. Is this broadband or standard MMPAs? Are you doing a couple GaAs size or is it more of a packaging exercise?
William A. Priddy: MMP, multimode, multiband...
Robert A. Bruggeworth: Are you....
William A. Priddy: Yes. You're referring to March quarter growth or going forward?
Edward F. Snyder - Charter Equity Research: Yes. Mostly March quarter, exactly.
Steven E. Creviston: Yes. It was actually a pretty good mix still, I think, if we get back to the essence of Dean's point of our product mix, what we saw in the March quarter was a lot of our old product had strength. So more of the traditional multimode, multiband power amplifiers from RFMD had a lot of strength. The new ones ramping forward in the new platforms are really just beginning to take off, and that's part of the product mix issue we saw.
Edward F. Snyder - Charter Equity Research: So you get a better -- it would be safe to assume your margin profile in the new MMPA is better than the older one, correct?
Steven E. Creviston: Absolutely.
Robert A. Bruggeworth: Correct.
Edward F. Snyder - Charter Equity Research: Even if ASPs don't improve too. And then, Phenom, I mean, sounds like you did a lot of MMPA with satellite PAs, all of this is high-efficiency stuff now, isn't it?.
Norman Hilgendorf: Yes, it's exactly right. It's all Phenom-based now for the various street LTE bands.
Edward F. Snyder - Charter Equity Research: And then how do you feel about your SOI, most importantly your intended tuner products at this point? You mentioned pre-broadband strength and included antenna tuners. Are you seeing more product or more content with your existing OEMs or is it spreading across new OEMs because typically, it's only been a couple guys using this product.
Robert A. Bruggeworth: Yes, that's right. So we talked a little bit last quarter about the fact that we are now reaching out to more OEMs. There really are a couple of major flagship platforms that are carrying, by far, the majority of the volume and we have those wins, so that if you will now for the near-term. So we're feeling very, very good about the antenna-control business. Now it was also part of the product mix frankly in March, it was down in March because of the mix if you will in terms of the handsets that we're shipping again, more of the older handsets in this case that don't use antenna control, so that was part of the product mix. And in the March quarter, we said those products are accretive to corporate gross margins. Going forward though, we do see that product type moving across multiple handsets suppliers also into tablet form factors becoming stable for LTE essentially.
Operator: And our next question comes from the line of Mike Walkley from Canaccord Genuity.
T. Michael Walkley - Canaccord Genuity, Research Division: Dean, a question for you just on your investment to win strategy with operating expenses around $76 million in the quarter, is this kind of a rate we should expect going forward or should we still expect pretty strong growth? I know some of that included the Amalfi acquisition. And then a follow-up question just for Norm, on your LTE infrastructure, are you seeing any stronger visibility maybe in the second half of the year with the China LTE builds and maybe Europe or how is the visibility in LTE infrastructure?
Robert A. Bruggeworth: Mike, this is Bob. I'll go ahead and take the OpEx. You're correct. The increase that we did see included a full quarter of the Amalfi acquisition. Typically our FICA tax, et cetera, goes up in the first quarter. That was a large part of that. We did continue to add some of our product development costs as we continue to win a lot of exciting marquee phones and continue to work on that, but I think to your point, I think we are going to see a leveling out of our OpEx now. We're going to digest what all we've got here. We believe we can drive this business. We've talked about $330 million possibly up to $350 million given the OpEx we're spending now. So we feel pretty comfortable with that at the level we're at today. And then, Norm?
Norman Hilgendorf: And, Mike, with regard to the LTE infrastructure trend and visibility into later in the year, what we're seeing right now is that the wireless infrastructure business overall in the industry, these have stabilized, but at a rather subdued level, I would say. It's still less than historical spending levels. When we look out to the coming year, it's still kind of treading water I would say. We have a couple of customers that are doing -- that are starting to pick up and do better, but I can't say that it's really spread across the entire industry there at this point.
T. Michael Walkley - Canaccord Genuity, Research Division: And, Norman, if it did pickup, is that still a higher gross margin business for you?
Norman Hilgendorf: Oh, yes, yes. That tends to be right around our average NPG margin to a little above.
Operator: And our next question comes from the line of Ian Ing from Lazard Capital Management.
Ian Ing - Lazard Capital Markets LLC, Research Division: You talked about one 10% customer in the quarter, previous quarter was 2, I think the larger one was 17%. Is this a function of more diversification or product cycle timing do you think?
Robert A. Bruggeworth: Yes. Thanks for your question. Actually, last quarter we had one 10% customer, so we're pretty much tracking there. It's really our diversification is what we're going and I really don't want to comment too much on all of our customers because not all of them have reported yet.
Ian Ing - Lazard Capital Markets LLC, Research Division: And then what are your share expectations in the China 2G market? How that settles out as you have your CMOS PAs? I mean, I think R&D is still pretty dominant in that space, and I think, at one point, we had about 25% of that market. Amalfi was emerging, et cetera.
Robert A. Bruggeworth: Today, our share in 2G market, overall, not just the China market is far north of the number that you threw out there and we believe, that we will be able to hold our share as the #1 supplier to this marketplace. Eric, any color you want to add or...
Steven E. Creviston: That's exactly right. We're very well positioned not only in the white box manufacturers, but also in the Tier 1, if you will, OEM to play in that space as well. Now we have a broad portfolio with CMOS through gallium arsenide and converting also our customers from 2G to 3G. There's just not enough product development going on. Recently, we can't maintain the #1 position there. Still an exciting market too, I mean, even in 2G proper, if you will, it's 800 million, 900 million units a year still in that marketplace. But there's still a lot of activity there. Of course, we're very excited about converting access for base to 3G as well, and we've got a lot of plans for that with silicon throughout this year. We see a lot of growth in the entry-level smartphone market.
Robert A. Bruggeworth: I do want to clarify my comment, I think what we said last quarter was that if we aggregated several suppliers to support one of our customers, you do get to a 10% customer that way. So maybe that's why we said we took away from that 2 10% customers.
Norman Hilgendorf: Yes. The top 2 smartphone manufacturers were 10% customers last quarter.
Ian Ing - Lazard Capital Markets LLC, Research Division: What if you had to get back up to 2 10% customers?
Norman Hilgendorf: We're not going to forecast when that happens. We're just going to focus on diverse -- continuing to diversify our business and winning business that the major accounts, all the accounts actually.
Operator: And our next question comes from the line of Anthony Stoss from Craig-Hallum.
Anthony J. Stoss - Craig-Hallum Capital Group LLC, Research Division: If you could share with us your how linear the quarter was and then your view on how you think June might shape up. And then, Bob, you commented about strong design activities. Is there any one segment within that, that you look forward to grow the fastest this year?
Robert A. Bruggeworth: Dean you want take the linearity?
William A. Priddy: First of all, reference of our DSOs, the quarter was very linear. The bookings activity during the quarter was very robust and at least, sitting a nicely booked situation going into the June quarter.
Robert A. Bruggeworth: As far as I know, I think Eric's chomping at the bit to answer that.
Steven E. Creviston: Absolutely. Thanks, Bob. I think just stepping back and looking at it from a big picture, I think the team's done a fantastic job really of identifying the underlying growth drivers on the market. Now that's really driven our performance in the March quarter year-over-year, and what we expect to continue going forward. So we haven't focused obviously, on identifying those growth drivers. If you go back to ultra high-efficiency power amplifiers really leading that charge and the multimode, multiband power amplifiers. We drove a lot of growth with the industry-leading high-performance [indiscernible] switches, and we continue to see that going and that led us into the antenna control solutions, which has been a great growth driver, and we'll definitely continue for the next several years to drive growth. Now that's kind of our track record that's got us to here. As you look forward, we've got the whole CMOS power amplifier and the investment there, the new technologies. We're really excited about what we can do with that technology in the entries there. We also been talking about envelope tracking and carrier aggregation that's driving the next major wave. As we can see couple of waves beyond that, coming as well, we're deeply embedded in design activity now, across several platforms and key customers for 2015 programs and beyond already. And I think what really -- at the end of the day, what brings it altogether is our focus on the total RF system. So we have best-in-class technologies for each of those component areas that I mentioned, but more importantly, we have the ability to do this systems engineering to bring all of that together and get each customer and each application the exact right fit, the best technology in each slot customized for their application. That's fundamentally what's been driving the growth and that's not full length. The overall requirements for these are getting more complex, more growth in the RF front-end and we're positioned with all these investments to continue to take advantage of those trends.
Operator: And our next question comes from the line of Vijay Rakesh from Sterne Agee..
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: I'm not sure if you've been through all this, but what is the Amalfi contribution in the March quarter, and what is in June? And when do you see the Amalfi gross margins get to corporate average?
Robert A. Bruggeworth: As far as the Amalfi revenue goes, we didn't break it up. On the last quarter, we said we expect it to be roughly the $50 million annual run rate, and it was. So it tracked pretty much as we had expected for the quarter, and quite honestly, we're very pleased with the acquisition and the outlook for driving revenues with that program. And we did mention a little bit about bringing on the lower cost version of the 2G CMOS PA later in the year. Dean, you want to comment a little bit on the profile of the ramp?
William A. Priddy: Yes. It's happening as we speak, and we're sampling that product across a wide variety of customers and also taking it to customers that we didn't originally fit. As a standalone company, Amalfi really didn't have access to, such as Nokia. So it's getting a lot more acceptance in the marketplace. Now as you know, it takes a while to transition a product family. Boards have to be relayed out and so forth and so on, but that's well underway. We'll begin to see it in the June quarter. We'll see it more so in the September quarter and then by the December quarter, we think we'll be realizing basically full benefit of the transition.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: Got it. And just -- I know you guys are keeping a long-term gross margin target at 40%, 45%, but then I go back and look the last time you guys are closer to that 38% to 39% level. The MPG group was pretty nice in a healthy 30% of revenues. [Indiscernible] is drag a little bit later, which is probably a drag on your margins. When do you see that multi-markets come back a little bit strong. Obviously, that carries nice margins too.
Robert A. Bruggeworth: As far as -- what you're really asking is growth rates of the 2 businesses as comparison, and quite honestly, as you well know, we have been doing extremely well in the cellular business with the expanding dollar content. However, I will point out last quarter, MPG grew a little bit faster than our cellular business, so we're definitely making investments. We're investing in some of the higher growth segments at MPG and we'll see how it plays out.
William A. Priddy: The biggest drag on our gross margins have been under-utilization of our fabs and to some -- and the mix aspect, and we see nothing fundamentally that's going to prevent us from getting back to the margin profile that speaks to 10 quarters ago, when we were routinely in -- yes, I'm expecting 40% gross margin.
Operator: And our next question comes from the line of Vivek Arya from Bank of America.
Anne Edelstein: This is Anne Edelstein, calling in on behalf of Vivek. First, I want to say great growth this quarter, and then on to the harder stuff. So we've seen the RF CMOS base heat up recently with the announcement by Qualcomm, and then last week, one of your competitors a while ago, acquired an RF CMOS vendor, Javelin. So how do you view these shifts in your competitive landscape? And how much can the influx of competition affect this already lower margin business?
Robert A. Bruggeworth: Let's see now where to begin. Competition, well, that's not what we've been used to people entering the market and leaving the market. So I think we'll take it in 2 parts. We like the consolidation that's going on, and as you pointed out, having Javelin acquired, well we kind of like that, so I think that bodes well for the industry. Just to remind the group, we talked about this when we announced that we were acquiring Amalfi. We went out and surveyed the entire CMOS space, and quite honestly, felt Amalfi had the best 2G and 3G products. When we look at the cost structure and the performance of 2G and 3G from Amalfi, we absolutely believe we bought the right company. So kind of parking at that, industry dynamic fantastic of what's going on there. As far as Qualcomm, first, I want to acknowledge Qualcomm's a great company, and we highly value our relationships with these reference design partners such as Qualcomm. I mean, obviously, they're key to our ecosystem. Also we would feel that they acknowledge that this is of growing importance of the RF from-end to the entire system. Yes, there's lots of RF complexity. We talked about that throughout the call in our prepared comments for LTE systems. And if anything, it's going to increase and we talked about some of the new technologies coming like carrier aggregation and envelope tracking and et cetera. So our customers are just going to have ways to increase this integration levels and simplify their designs. Quite frankly, that's what RFMD has been focused on for many years. We think we're in a very good position to continue leading this trend. So from a high level, we don't see much changing. It's really the acknowledgment of this space has a lot of opportunity for growth, a lot of opportunity for problem solving, and I think if you look at our numbers and what we've been able to put up over the last few quarters, I think we've got a good handle on it, but I'll let Eric comment or go any deeper, if he'd like.
Steven E. Creviston: I'll just go back to the earlier comments about what we've been focused on for years now, which is solving the actual customer problem. And RFMD has never been a company with a hammer looking for nails. We've got a lot of different technologies, Optimum Technology Matching has been build-in forever. So what we see in terms of the customer demand is application-specific, where you need to really fine tune the technology you bring to it, the overall system integration to get the right balance, the cost of performance across many different segments and tiers. Markets over 2 billion units a year, there's not a one-size-fits-all solution. It's very complicated. So that's our business and customers seem to still be asking for things the way we're doing it.
Operator: And at this time, I'm showing no further questions in my queue. I'd like to turn the conference back over to management.
Robert A. Bruggeworth: Thank you very much for joining us tonight. RFMD is winning content on our customers flagship devices, and we're working to expand our content on the flagship devices and key platforms anticipated next year and in 2015. We're winning by leveraging our unique set of competitive strengths and delivering our customers highly differentiated, best-in-class products that solve their complex RF challenges. We anticipate an extended period of diversified revenue growth, and we expect this will support significant operating leverage and earnings growth not only as our top line growth leverages are flattening expense base, but as we generate multiple points of margin improvement. Thank you, and good night.
Operator: Ladies and gentlemen, this does conclude our conference for today. This conference will be available for replay until April 30 at midnight. You may access the replay system at any time by dialing (303) 590-3030 or 1 (800) 406-7325 and entering the access code of 4612553#. We thank you all for your participation, and at this time, you may now disconnect.